Operator: Good morning. Welcome to ChampionX Corporation's First Quarter 2023 Results. Your host for this morning's call is Byron Pope. I will now turn the call over to Mr. Pope, you may begin.
Byron Pope: Thank you. Good morning, everyone. With me today are Soma Somasundaram, President and CEO of ChampionX, and Ken Fisher, our Executive Vice President and CFO. During today’s call, Soma will share some our company’s highlights. Ken will then discuss our first quarter results and second quarter outlook, before turning the call back to Soma for some summary thoughts. We will then open the call for Q&A. During today’s call, we will be referring to the slides posted on our website. Let me remind all participants that some of the statements we will be making today are forward-looking. These matters involve risks and uncertainties that could cause material difference in our results from those projected in these statements. Therefore, I refer you to our latest 10-K filings and our other SEC filings for a discussion of some of the factors that could cause actual results to differ materially. Our comments today may also include non-GAAP financial measures. Additional details on reconciliations to the most directly comparable GAAP financial measures can be found in our first quarter press release, which is available on our website. I will now turn the call over to Soma.
Soma Somasundaram : Thank you, Byron. Good morning, everyone. I would like to welcome our shareholders, employees and analysts to our first quarter 2023 earnings call. Thanks for joining us today. Let me start by saying that ChampionX delivered strong performance in the first quarter on our key metrics, including adjusted EBITDA margin expansion, free cash flow generation and capital return to our shareholders. I'm appreciative of the remarkable dedication that our employees demonstrate daily in delivering value to our customers. Before I touch on our first quarter performance on slide number 4, we always begin our earnings call with our corporate vision, purpose and operating philosophy because we wake up every day focused on improving the lives of our customers, our employees, our shareholders and our communities. On slide number 5, we share a glimpse into just a few of the countless ways in which our teammates within our businesses and functional areas around the world take seriously our purpose of improving lives in the communities in which we live and work. Now, turning to first quarter performance. Our first quarter revenues grew 10% year-over-year. During the first quarter, we experienced normal sequential seasonal decline in international revenues. This was partially offset by the strength of our North American revenues, which grew 4% sequentially. All of our four segments posted sequential growth in North American revenues. Our digital revenues grew 6% sequentially and 32% year-over-year. We are seeing continued strong adoption of our fit-for-purpose digital solutions, including our emissions management technologies that drive tangible productivity for our customers and help them achieve their sustainability goals. We are continuing to invest in this area. Ken will take you through the details of our first quarter financial result shortly, but let me first touch on three key business highlights, which are shown on slide number 6. First, EBITDA margin expansion, our continued focus on margin expansion is delivering meaningful and sustainable results. Despite experiencing a sequential revenue decline in the first quarter, which was primarily driven by seasonality we typically see in international operations, our Q1 adjusted EBITDA margin improved by approximately 40 basis points sequentially and 410 basis points year-over-year on continued productivity improvements, pricing realization, and cost management. This marked the fourth consecutive quarter of sequential improvements in our adjusted EBITDA margin. We expect our adjusted EBITDA margin to progressively improve through the year, and we now expect to deliver an exit rate of greater than 20% in the fourth quarter of this year. Second, free cash flow, we are pleased that we delivered another strong and differentiated free cash flow quarter, especially given that the first quarter tends to be our lowest free cash flow conversion quarter of the year. Our first quarter free cash flow of $69 million represented 39% of our adjusted EBITDA. This once again demonstrates the best-in-class cash flow generating capability of our capital light portfolio of businesses and illustrates our high degree of confidence in converting at least 50% of EBITDA to free cash flow in 2023 and continue to deliver between 50% to 60% conversion of EBITDA to free cash flow through the cycle. Third, returning capital to shareholders. We previously shared with you and most recently in detail at our Investor Day last month, how our disciplined capital allocation framework is designed to create value for our shareholders. And in the first quarter we once again delivered on our commitment to return excess cash to our shareholders. In the first quarter, between our regular cash dividend of $15 million and $40 million of share repurchases, we returned 80% of free cash flow to shareholders. We remain committed to return at least 60% of free cash flow to our shareholders this year and through the cycle. Let me now turn the call over to Ken to discuss our first quarter results and our second quarter outlook.
Ken Fisher : Thank you, Soma. Good morning and thank you for joining us today. I will be commenting on adjusted EBITDA for both sequential and year-over-year comparisons. We believe this metric best reflects the business performance of continuing operations. Our first quarter 2023 revenue was $948 million, up 10% year-over-year and 4% below fourth quarter levels. Geographically, year-over-year North America revenues grew 9% and international revenue was up 10%. Production Chemical Technologies was down sequentially, exhibiting some expected seasonality, and this was partially offset by growth in both our Production Automation Technologies and Drilling Technologies businesses. Included in our first quarter revenues were $23 million of cross supply sales to Ecolab, which declined 12% sequentially from the fourth quarter and were 33% lower than the prior year period. As we have previously communicated, we do not recognize margin on these sales and the associated revenue is allocated to corporate and other in our financial statements. First quarter GAAP net income for the company was $64 million, or $0.31 per diluted share versus $68 million in the fourth quarter and $37 million in the first quarter of 2022. In the quarter, we recorded a $13 million charge for the exit of our Russian business. Moving forward, we will not recognize revenue in Russia. As seen on slide 9, ChampionX consolidated adjusted EBITDA for the first quarter was $176 million, down 2% versus the previous quarter and up 41% versus the prior year period. In the first quarter, ChampionX delivered consolidated adjusted EBITDA margin of 18.5%. This was up 38 basis points sequentially and up 410 basis points over the first quarter of 2022. Our first quarter free cash flow of $69 million reflected strong cash flow from operations and a continued laser focus on working capital management. Cash from operating activities was $92 million and capital investment were $23 million net of proceeds from asset sales. Turning to our segments. Production Chemical Technologies generated first quarter revenue of $592 million, down 7% from the fourth quarter and up 15% year-over-year. Segment adjusted EBITDA was $105 million, down 13% sequentially and 57% higher than the first quarter of 2022. Volume growth, increased selling price and productivity projects drove the year-over-year improvement. Sequentially, we saw the impact of some seasonality and volumes in a lesser mix. Segment adjusted EBITDA margin was 18%, down 127 basis points sequentially and up 477 basis points from the prior year's period, driven by higher selling prices on our productivity initiatives. Production Automation Technologies’ fourth quarter segment revenue of $252 million increased 3% sequentially, year-over-year revenue was up 14%, driven by both volume and higher selling prices. Digital revenues were up 6% sequentially in the first quarter and increased 32% year-over-year . We continue to see increasing customer focus on implementing Digital Technologies to reduce emissions and drive operational and cost improvements. We expect future revenues to continue to benefit from this industry trend. PAT first quarter segment adjusted EBITDA was $60 million, up 18% sequentially and 33% above the prior year period. Segment adjusted EBITDA margin was 24%, up 305 basis points versus the fourth quarter and 335 basis points from the prior year period due to higher volumes and selling prices. Drilling Technologies segment revenue was $57 million in the first quarter, up 5% sequentially and flat year-over-year . Drilling Technologies delivered segment adjusted EBITDA of $13 million during the first quarter, up $2 million sequentially and down $4 million compared to the first quarter of 2022. Segment margin was 24% in the quarter, a 330 basis point sequential increase driven by higher volumes and lower tooling costs. Our revenue in Chemical Technologies segment, revenue for the first quarter was $26 million flat sequentially and a 35% decrease year-over-year . As previously discussed, the year-over-year revenue decline was driven by the exit of certain low margin RCT product lines last year. This resulted in lower revenues but a significant improvement in the margin profile of this segment. The segment posted adjusted EBITDA of $4 million during the first quarter, up $1 million compared to the fourth quarter and up $4 million versus the corresponding prior year period. Segment margin was 15% in the quarter, a 212 basis point sequential improvement and 1,600 basis points favorable versus the prior year period driven by the product line exit and the resulting restructuring actions. Moving to our balance sheet as shown on slide 10, we ended the first quarter in very strong position with record liquidity of $915 million including available revolver capacity and cash on hand. This was an increase of $27 million versus the prior quarter. We also continued to reduce outstanding debt with $27 million repaid in the first quarter. On March 31, our leverage ratio was 0.5 net debt- to-adjusted EBITDA. In alignment with our capital allocation framework, we remain committed to the return of surplus capital to our shareholders, representing at least 60% of free cash flows. During the first quarter, we returned 80% of free cash flow to shareholders, including $15 million in regular quarterly dividends and $40 million of share repurchases. We remain laser focused on disciplined capital allocation, delivery of operating and free cash flow, effective working capital management, and maintaining our strong liquidity and financial position. Turning to slide 11 on our forward outlook, we continue to expect 2023 to be another year of solid revenue growth and expanding adjusted EBITDA margins. Specific to the second quarter, we expect revenue including Ecolab cross sales in the range of $970 million to $1 billion, which at the midpoint represents 6% year-over-year revenue growth. Please recall 2022 second quarter revenues included Russia revenues, the RCT exited product lines and a significantly higher level of Ecolab cross sales. Second quarter sequential change in revenue is primarily driven by a seasonal step up in international activity and continued positive momentum in our North American businesses. For adjusted EBITDA, we expect a range of $182 million to $190 million which at the midpoint represents a 35% increase over second quarter 2022. At the midpoint, this represents a 400 basis points improvement year-over-year in the company's adjusted EBITDA margin rate. We expect our adjusted EBITDA margin to improve throughout the year, and we have increasing confidence that we will exit 2023 at a company adjusted EBITDA margin rate of greater than 20%. In terms of capital investment, we continue to expect annual spending to remain in the range of 3% to 3.5% of revenues during 2023. While in periods of revenue growth we will see the need for some working capital investment, we remain confident in our 50% to 60% free cash flow to adjusted EBITDA conversion ratio guidance through the cycle. For this year, we continue to expect strong free cash flow with a free cash flow to adjusted EBITDA conversion ratio of at least 50. As a reminder, our free cash flow delivery is weighted towards the second half of the year. Thank you. And now back to Soma.
Soma Somasundaram : Thank you, Ken. Before we open the call to questions, I would like to highlight a couple of important operating capabilities within ChampionX that helps us achieve sustainable margin expansion and deliver industry leading free cash flow conversion. First, I would like to touch on driving productivity improvements. Given our industrial heritage, driving productivity improvements is part of our DNA. We are constantly working on a long list of productivity projects that improves our business efficiency, deliver customer value and contribute to improving our margins and earnings. These projects can vary from large restructuring efforts that contribute millions of dollars in productivity to daily improvements by everyone in the organization that add up over a period of time by eliminating waste in the system. We enable this through our continuous improvement culture that is rooted in training all of our employees to be collaborative problem solvers using lean methodologies and principles, we view our continuous improvement culture as an important competitive advantage. Second, on working capital management, since our merger, we have been investing in building capabilities to enhance our working capital management. At the heart of it, it involves driving velocity through the system by eliminating waste and bottlenecks. We enable this through daily metrics visibility, process mapping, real time data analytics, digitization and robotic process automation. The strong working capital management capabilities combined with our capital light business model result in ChampionX having a differentiated free cash flow profile through the industry cycle. As the leading global provider of production optimization solutions for the energy industry, we are uniquely well positioned to help operators meet their objective of maximizing the value of their producing assets in sustainable and cost effective ways. Despite market concerns about near term potential declines in North American natural gas directed activity levels, let me remind you that our ChampionX portfolio is highly oriented to oil and we continue to see favorable demand tailwinds in our businesses that support a constructive multiyear outlook for our portfolio. We remain laser focused on delivering solid bottom line growth, adjusted EBITDA margin expansion and strong cash generation. We are fully committed to creating value for our shareholders through a disciplined capital allocation framework with clear priorities for our capital, including high return investment and returning cash to shareholders. With that, let me thank all of our 7,300 ChampionX employees around the world for their tireless dedication to our purpose of improving the lives of our customers, our employees, our shareholders, and our communities. You inspire me daily. With that, I would like to open the all for questions.
Operator: [Operator Instructions] Your first question comes from Stephen Gengaro from Stifel.
Stephen Gengaro: Thanks. Good morning, everybody. I guess if you don't mind starting with some of, when we think about the PCT margin performance, which was clearly solid in the quarter, can you talk a little bit about pricing trends, but also what you're seeing on the raw material cost side and if that has stabilized now and how we should be thinking about that impact on margins.
Soma Somasundaram : Yes. Good morning, Steve. So, on the PCT side, the input costs have definitely stabilized. And as we mentioned in Q4, we saw some incremental favorability. So we saw that continue into Q1. So going forward, we feel the input costs are going to remain stable. The other important aspect of our PCT margin expansion is the combination of continued pricing realization and as you know, we have been very active in making sure that we work through those pricing and so the pricing realization as well as the significant amount of productivity improvements. So we feel very good about the continued margin expansion as we go through this year in our PCT business.
Stephen Gengaro: Great, thank you. And as an unrelated follow up, just on the methane monitoring side, can you give us an update on where that stands and any developments and or traction on that front?
Soma Somasundaram : Yes, great question, Steve. If you look at in 2022, we grew that business 36% and today we have over 50 customers who have adopted our technologies. And what's also really encouraging is the recurring revenue stream we derive from that business. Today recurring revenue stream in the business is running at a rate of about 35% of revenues. So we are continuing to see adoption and particularly in this continuous monitoring business and we are expecting another year what we have seen in the first quarter with our methane monitoring business is giving us a lot of confidence it's going to be another year where we'll, at least will be in the 35%- 36% growth or even greater than that.
Operator: Your next question comes from Scott Gruber from Citigroup.
Scott Gruber: Yes, good morning. First question here on the OPEC production cut, what you guys have seen in the Middle East. We got a bunch of questions after that announcement around whether to be any impact on chemical sales in the region. Are you guys seeing any indication that chemical sales in the Middle East will be impacted by their production cut decision?
Soma Somasundaram : Yes, great question, Scott. We have gone back and looked at over the several years, whenever OPEC has announced production cuts, what impact we see in our revenue trends. And what's interesting is this type of near term production cuts or temporary production cuts really don’t seem to have any impact on the revenues of our production chemical technologies. And to answer your question specifically, we are seeing that again now that we are not seeing any specific impact on our PCT revenues. So the only time we saw a significant impact on the PCT revenue is when there is significant and prolonged cut with the production cutbacks such as during the ’15-’16 time frame or during the pandemic in the second quarter of 2020. Outside of that, temporary production cuts don't seem to have any impact on our PCT revenues and we are not seeing that now either.
Scott Gruber: That's good to hear. And then a follow up on Drilling Technologies revenue there was up, US rig count onshore slid a bit, but we do have a rising international rig count and we know that you guys will sell your inserts to others making the bids and then the bids get sold internationally. So sometimes those sales are domestic even though the bids go abroad. But just curious how you see the rest of the year playing out for your cutter business. Just kind of given some cross currents between weaker potential US rig count and rising international activity.
Soma Somasundaram : Yes Scott, as you rightly pointed out, we tend to track the global recount. So as you saw in the first quarter, we grew close to 6% sequentially in our drilling technologies business. And while the recount was sequentially down close to about 2.5% - 3%, now, the two things that we feel good about going forward and it should continue to drive sequentially revenue improvement in our drilling technologies. One is the worldwide recount even though there could be some cross current in North America in terms of recount being flat to down, but international recount continuing to raise. So we'll benefit from that. And the second aspect is the technology adoption. So we introduced some really innovative technologies in Q1 and we are seeing a broad adoption within our customers of those technologies. In fact, to extent one of the customers even pointed out is some of the best technology advances he has seen in recent years. So we really feel good the continued technology adoption of our cutters going forward should also drive the sequential growth in our drilling technologies business. So the combination of these two factors we feel very good about our drilling technologies business should continue to improve sequentially through the year.
Operator: Your next question comes from Marc Bianchi from TD Cowen.
Marc Bianchi: Hi. Thank you. I wanted to first ask about growth rates So for the second quarter here it looks like maybe a 4% growth rate is implied by the revenue guidance. I'm curious how you see that progressing beyond second quarter. And I know you probably don't want to get into specific figures, but just sort of do you expect an acceleration at some point later in the year or is it stay consistent at this level? Maybe you could provide some more color around how those shapes up.
Soma Somasundaram : Yes, sure, Mark. I think at the midpoint, I think sequentially our growth rate is about 4%. But like Ken mentioned in his prepared remarks, in the end of the first quarter we exited Russia. So that is some of the Russian revenues will not repeat for us going forward and then the continued RCT product lines will step down and then also the lower cross sales to Ecolab all that play into that equation. But the thing which is really important here is what we are exiting in these revenues are all lower margin to breakeven margin type product lines. So while the 4% revenue growth, sequential revenue growth is including all of those elements. Now going forward, we are very confident about the high single digit organic growth which we laid out during the Investor Day. So we do expect our revenue growth to be high single digit this year as well. But even more confident, we are on our solid EBITDA growth and the margin continued stepping up and expansion of our margin and cash generation because of all the restructuring work we have done and we have exited some of the lower margin product lines. And so we expect our EBITDA growth to be even stronger as we work through the quarters here. That's what gives us, Marc, significant confidence in achieving our exit rate of greater than 20% this time. But you should expect us to sequentially, the growth rates to improve and we still will achieve the high single digit growth rate for the year.
Marc Bianchi: Okay, that was a great response and mostly answered my second question, which related to sort of the margin leverage. It would appear that you need to have a bit higher incremental margins in the back half to get to that above 20%. And I'm assuming that above 20% is not 20.1%. You're going to beat it by a bit more than that, but it would seem that the margin leverage needs to pick up. And what I'm hearing is it sounds like it's sort of more restructuring than any kind of price cost improvement that you would expect to develop.
Soma Somasundaram : Yes, Marc, I would say that it's a combination of two things. One is we do expect our volume to continue to step up, right. Because, as you know, sequentially, our volume steps up through the year. And then the second thing is all the productivity work we have done will continue to contribute as well. So definitely it's volume as well as all the restructuring and the productivity work, we have done.
Operator: Your next question comes from Saurabh Pant from Bank of America.
Saurabh Pant: Hi. Good morning. Hi, Soma. Hi, Ken. So I think just a quick follow up on Marc's question from a top line perspective, Soma, just to clarify, I think you said in 2023 you should be hitting that high single digit percentage top line number. I just want to confirm that. And then assuming that's correct, how should we think about the different businesses between chemicals and lift and drilling technology? Which one do you think does better than that number and which one does worse than that number?
Soma Somasundaram : Yes, first and foremost, I would say, Saurabh, that all of our business, we expect to grow except year-over-year in 2023, except two areas, which is RCT, because of all the restructuring we have done, and the corporate. As you know, by the time we get to the middle of this year, by end of June, as you know, the cross sales to Ecolab will stop reporting in the corporate line. But any additional sales from there on to Ecolab would be reported under our segments. So that's the framework. So given that framework, we expect our PAT business to kind of lead the growth, followed by our PCT. So you should expect both of those business to be performing at the high single digit type level and with PAT, little more than that, and then followed by our drilling technologies business. So that's how I would think about it, Saurabh.
Saurabh Pant: Okay, perfect. And then just a quick follow up, Soma. I know last quarter we were talking about what PCT revenues can do in 2023. There's a lot of pricing and cost flow through dynamic as well, not just volume. And I realized that , right. But I think you were talking about that business probably growing double digit, right. I know it was not guidance. It was just a possibility, right. I'm just trying to think what needs to happen for you to be hitting double digit kind of revenue growth in PCT versus high single digit kind of a number, just so that we understand.
Soma Somasundaram : Yes, I think if you look at what happened last year, one of the big contributors is the continued pricing and inflation , right. I mean I think for this year, I think we don't expect the inflation. We're not expecting any stepping up of inflation. So the high single digit growth is a lot driven by volume improvement as well as the carry in pricing, which we got through. Now what can even further improve that. For us, obviously, as you know, we are always working on market share gain opportunities. So if we are more successful in that, I think that can be even better. And the other aspect of that can also happen is obviously, as we have shared with you before, where the source of production comes from can also move the needle more. So if there is more growth from offshore than expected, then that can drive that. And then higher oil prices can also drive, as we have mentioned, during the environment of high oil price customers tend to increase even more their production spending. So we feel very confident about the high single digit growth. But can it be better? It's all going to depend on some of these factors.
Operator: [Operator Instructions] Your next question comes from Atidrip Modak from Goldman Sachs.
Atidrip Modak: Hi, good morning. Soma, maybe can you talk about the operating discipline and working capital comment for 1Q that drove better free cash flow and how should we think about that going forward maybe for the full year and subsequent 1Qs? Is this a new normal? Just that it sounds like the 50% conversion for this year should be easily achievable given 1Q was strong.
Soma Somasundaram : Yes, Ati, look, as you know, we are very focused on our operating rigor and how we drive the business. And as I mentioned, the fundamental core to that is our operating culture which is rooted on this continuous improvement. And for us, what we do generally with our continuous improvement culture, it starts with the basic training of our people to understand how to see waste and how to eliminate waste. And we really training people to see waste in the system is a significant way to identify productivity elements and then helping them to solve the problems. So within the company we talk about making sure that we always have problem finders to problem solvers ratio to be at least one each to one because we want everybody who finds a problem or is also enabled to solve problems. Right? So we really focus on enabling that operating culture and then on top of that is all our investments around things like automation, technology, digitization. And then the other aspect which is really, really important in our system, in our operating cadence is we constantly strive for daily visibility of metrics because our view is every one of our employees needs to know whether we are winning or losing. Because imagine if everybody knows winning or losing frequently, it's easier to make corrective actions. So this is a system capability which we continuously invest and drive and that's a sustainable competitive advantage. And that's why, to your point about why this is important for us because this is what provides that sustainability and continuous improvement in our operating margin as well as cash generation. Now, you noticed in our first quarter, our working capital management capability improvements are really showing up. So that improves the consistency of our cash generation. It still will be somewhat backup weighted. But compared to previous years we have improved the consistency of cash flow generation in the business. So I think you should expect that from us going forward, Ati, and we'll continue to advance this capability.
Atidrip Modak: Great, thank you. And then you mentioned leverage to oil prices more so than gas prices but maybe touch on what kind of exposure you have to softening gas prices in the US and maybe any impact from the activity slowdown if you do see that in the second half of the year across your segments.
Soma Somasundaram : Yes. So the exposure we have is related to some of the gas drilling rig count, right. Because our drilling technologies business tend to be rig count driven. But as I mentioned before, with the international rig count growing and our technology new products adoption continuing to become strong, I think we feel we should be able to offset that impact and grow through the year. The other area where we have gas exposure is in our artificial lift where you will see about less than about 10% of our revenues comes from gas related activity. This will be like dewatering of gas wells and those type of operations. So you will see some of that. So that's the extent of it. We have some midstream exposure in our gas wells but that's driven more by gas production and transmission than just any type of gas production. I mean drilling and completion type activities.
Operator: There are no further questions at this time. You may proceed.
Soma Somasundaram : Well, thank you, everyone, for joining our earnings call today. We appreciate your continued interest in ChampionX and we look forward to talking to you in our next quarter call. Thank you.
Operator: Ladies and gentlemen, this concludes your conference call for today. We thank you for participating. And ask that you please disconnect your lines.